Lauren Cannon: Welcome to the fourth quarter and full year 2025 ICF International, Inc. earnings conference call. My name is Lauren Cannon, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press *11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press *11 again. Please be advised that today's conference is being recorded. I will now turn the call over to Lynn Morgen of Advisory Partners. Lynn, you may begin.
Lynn Morgen: Thank you, operator. Good afternoon, everyone, and thank you for joining us to review ICF International, Inc.'s fourth quarter and full year 2025 performance. With us today from ICF International, Inc. are John Wasson, Chair and CEO, and Barry Broadus, CFO. Joining them are James Morgan, Chief Operating Officer, and Anne Cho, President. During this conference call, we will make forward-looking statements to assist you in understanding ICF International, Inc. management's expectations about our future performance. These statements are subject to a number of risks that could cause actual events and results to differ materially, and I refer you to our February press release and our SEC filings for discussions of those risks. In addition, our statements during this call are based on our views as of today. We anticipate that future developments will cause our views to change. Please consider the information presented in that light. We may, at some point, elect to update the forward-looking statements made today but specifically disclaim any obligation to do so. I will now turn the call over to ICF International, Inc.'s CEO, John Wasson, to discuss fourth quarter and full year 2025 performance. John?
John Wasson: Well, thank you, Lynn, and thank you all for joining today's call to review our fourth quarter and full year 2025 results and discuss our business outlook for 2026. Let me also welcome Anne to her first earnings call as President of ICF International, Inc. And with that, let me start by saying that our fourth quarter results were firmly within our guidance ranges and capped a year in which ICF International, Inc. demonstrated notable resilience amid challenging conditions, our federal government business. In fact, delivered on what we said we would one year ago, and we are in to return to revenue growth in 2026 that at the midpoint represents an over 10% year-on-year swing. To summarize, 2025 revenues were firmly within our guidance framework, despite the direct and indirect impacts of the six-week government shutdown, we maintained our full year adjusted EBITDA margins at 2024 levels, despite the 7.3% dip in revenues. Revenues from non-federal clients increased 14% to account for 57% of full year revenues, led by 24% growth of revenues from commercial energy clients, of which 15% represented organic growth. And I'd say if any of year was a book-to-bill ratio of 1.19, a firm backlog of $3.4 billion, and a business development pipeline of $8.6 billion. All metrics that underpin our growth expectations for 2026. As I just highlighted, we saw robust demand for our services to commercial, state, and local, and international government clients throughout 2025, benefiting from the investments we have made over the last several years to build out key growth areas further diversify our business. In fact, we anticipate that this client set will achieve double-digit revenue growth again this year to account for more than 60% of our total revenues in 2026. The top performer in this grouping continued to be commercial energy, where client revenues reached just under $550 million and grew 23% in the fourth quarter and 24% in 2025. We are expecting another year of double-digit growth in this client category in 2026. The primary growth driver continues to be sustained strong demand from our utility clients for our market-leading energy efficiency, flexible load management, electrification, and grid optimization programs. Accounted for approximately 80% of our 2025 commercial energy revenues. These are critical areas for utility clients as they address the tremendous projected growth electricity demand, and the need for green resilience affordable energy. ICF International, Inc. is the market leader in developing and implementing residential energy efficiency, and new related programs for utilities with a 35% market share. We are continuing to gain market share the commercial and industrial energy efficiency space approaching a 20% share of this part of the market. Our market growth is a direct result of the strong performance of our programs, which consistently meet or exceed client objectives, as a consequence, we are winning a recantase benefiting from expanded scopes of work and taking away contracts from other providers. Additionally, revenues from our commercial energy advisory work picked up in the second half as the regulatory environment became clear to developers investors in the energy space. We saw higher demand for our grid engineering services, associated with accommodating data center loads as utilities expedite development of new substations. ICF International, Inc.'s energy keep engineering capabilities expanded considerably with our acquisition of CMY in 2023, but strengthened our offerings in grid modernization. And this is an area that we expect to build out further organically and potentially through tuck-in acquisitions. We're also seeing additional demand from small modular nuclear reactor developers seeking DOE funding market perspectives and regulatory support, along with demand for policy work, regarding SMRs from states and stakeholders. We also foresee work exploring the transmitted impacts of upgrading existing nuclear facilities. Our work on renewables is expected to continue to grow in 2026 led by solar and battery storage, a significant amount of renewable development has been safe harbor for investment tax credit purposes, creating sustained demand for our services for at least the next two to three years. Also, despite the reduced support from removals by the new administration, we see consistent private sector interest renewable and storage development on non-federal lands. This trend will continue through the advanced economics of these technologies and the need to meet the near-term demands of rapid load growth. And keep in mind that when we refer to our commercial energy revenues of $550 million this number does not include our energy-related work for federal, state and local, and international government clients, which amount to approximately $60 million in 2025. In fact, our commercial energy clients very much value ICF International, Inc.'s public sector work as it gives us a broader perspective on emerging technologies, as well as regulatory and policy issues. Moving ahead to our state of local government clients, our revenues increased 4.3% in the fourth quarter up 2.2% for the year. Our disaster recovery work accounted for approximately 45% of our 2025 state and local revenues and reflected our current support for over 80 active disaster recovery projects in 23 states and territories. ICF International, Inc. is recognized as a market leader in the development implementation of disaster recovery and mitigation programs just a few days ago announced that we were awarded a comprehensive management services contract by the state of Florida. This contract will enable us to compete for a wide variety of opportunities to help Florida improve, and accelerate statewide program delivery and strengthen long-term infrastructure resilience and we are very encouraged by this win. We continue to see HUD-funded procurement opportunities resulting from nearly $12 billion appropriation to enable long-term residential recovery, from disaster declarations in 2023 and 2024, and are actively positioning to compete for these procurements. As has been widely reported, the future rule of FEMA is under review. FEMA provides funding for the rebuilding of public infrastructure such as hospitals and schools following disasters and while this review has slowed the flow of funds, believe funding will ultimately flow to state and local governments. Lastly, our international government revenues increased 12.8% in the fourth quarter and 7.6% for the year, reflecting the ramp-up of contracts we won in late 2024 and early 2025 with the European Commission and the UK government. We expect to see greater growth in 2026 with a full ramp up of those contracts. Plus in January, we announced two significant new contracts to design and deliver large-scale communication campaigns across all 27 European Union member states. To sum up, we expect our revenues from non-federal clients to increase at a double-digit rate this year. Account for over 60% of our full year 2026 revenues. Let me now turn to the federal arena. As you know, 2025 was a challenging year. But we are looking ahead to a much improved 2026 for ICF International, Inc. Our revenues from federal government clients declined 25% year-on-year in 2025 as a result of contracts canceled between February and May, the slowdown in new procurements, and the direct and indirect impacts of the six-week government shutdown. In terms of where we stand today, our federal business is on much shorter footing than last year at this time. We were awarded approximately $1.1 billion in federal government contracts in 2025, representing about one half of our total contract wins for the year. About half of that amount represented new business including expanding the scope of current contracts, this is a good indication of ICF International, Inc.'s strong positioning in our federal markets. After last year's government shutdown ended, procurement activity picked up, and that momentum continued into 2026. Are seeing continued emphasis on efficiency, which we are well-positioned for, given that the vast majority of IT modernization work I think that's about one half of our federal government revenues, is outcome-based and done under fixed price and time and materials contracts. And we are starting to see a shift towards federal agencies outsourcing more work is creating additional opportunities for us. I know investors are concerned about the potential for GenTeC AI tools, such as Cloud Code and Gemini and Codex, eliminate the need for platform and service providers to play a central role in modernizing federal IT systems Ejecta coding tools can certainly speed up development they cannot replace the need for federal IT modernization. Here are three additional points to consider with respect to ICF International, Inc. First, as I just noted, 90% of our IT modernization work is outcome-based. Our civilian agency clients require a lot of support in this area. Thus, if we cannot complete certain projects in less time, at lower cost thanks to Adjenta AI, utilize available funding to move on to the next project. In other words, reducing costs increases the amount of backlog we can tackle for a client. Second, there is funding federal government budgets for IT modernization are robust. And recent reports indicate that a significant majority of federal IT systems still need modernization. And third, it is all about what you are doing and not doing in this arena. ICF International, Inc. does not maintain legacy systems. They do not manage project management offices. We do not run federal call centers. And we have exited others that we expect it to be commoditized due to AI. Rather, our work is in the higher end, higher margin areas like application development, cloud services, AI government governance, automation, data curation, and system post processing. In summary, AI is an accelerator and a net positive for ICF International, Inc., as we have already seen material improvement in our productivity, both in our client work and the internal management of our business. Looking across our technical development work more generally, we expect continued scrutiny around spending. But the market backdrop is much more stable than it was a year ago. And we see solid opportunities aligned with our core capabilities, particularly where agencies are modernizing systems improving efficiency, advancing mission-critical public health and or infrastructure priorities. In 2026, we expect revenues from federal clients to decline at a high single-digit rate. The 2026 will be a difficult comp as revenues in the 2025 included federal government work that was canceled between March and May. I'm sorry. February and May. On the plus side, we generally expect sequential improvement in federal revenues from the first quarter through the 2026 returning to year-on-year growth by the fourth quarter. To sum up our federal work, we have a firm backlog federal government contracts, a significant pipeline, and expect revenues from our IT modernization work increase this year. In 2025, we did navigate difficult business conditions to emerge as a stronger company in many ways. We are more diversified. We are more efficient. We are more agile. These advantages are positive catalysts for ICF International, Inc. in 2026 and beyond, demonstrated our confidence in ICF International, Inc.'s long-term outlook by repurchasing approximately 564,000 shares of our common stock last year of which about 220,000 were purchased in the fourth quarter. So with that, I will turn it over to our CFO, Barry Broadus, for his financial review. Barry? Thank you, John, and thank you, everyone, for joining today's call.
Barry Broadus: I'm pleased to provide you with some additional details on our fourth quarter and full year 2025 results. Total revenue in the fourth quarter was $443.7 million compared to $496.3 million in last year's fourth quarter and $465.4 million in this year's third quarter. The 10.6% year-over-year decline was consistent with the guidance we provided on our third quarter call. The fourth quarter capped a strong year for our non-federal business, which continued to offset a large portion of the decline in federal revenues. Revenue from our commercial, state, local, and international clients increased 16% year-over-year and accounted for approximately 62% of our fourth quarter total revenues. Commercial energy remained a standout performer with revenues up 23.1% year-over-year, accounting for nearly one third of our total revenue, reflecting the sustained demand for our energy efficiency, electrification, flexible load management, and grid optimization services. Conversely, federal revenue declined 35.1% in the fourth quarter as year-on-year comparisons were amplified by the direct and indirect impacts of the six-week government shutdown. Fourth quarter subcontractor and other direct costs declined 5.8% year-over-year and represented 26.7% of total revenues compared to 25.4% in the prior-year quarter, reflecting increases in our pass-through revenues with our non-federal clients. Fourth quarter gross margins were 35.7% compared to 36.1% a year ago. The decrease was due to a shift in our cost mix associated with a higher percentage of subcontractor cost higher fringe expenses. Indirect and selling expenses declined at a slightly higher rate than revenues as cost decreased $14.2 million or 11% year-on-year to $115.2 million. Our indirect expenses were 26% of total revenues, were slightly less than last year's fourth quarter and 30 basis points below the third quarter of 2025. Fourth quarter EBITDA was $43 million compared to $50.8 million in the prior year. Adjusted EBITDA was $46 million versus $56.3 million last year, with an adjusted EBITDA margin of 10.4% compared to 11.3% a year ago. The decline in adjusted EBITDA was primarily driven by the decrease our gross margin I previously mentioned along with the temporary effects of the government shutdown. Fourth quarter net interest expense totaled $7.2 million compared to $6.5 million in the prior-year quarter due to our higher average debt balance reflecting $55 million in share repurchases executed during the year and the AEG acquisition completed in late 2024. Our tax rate in the quarter was 18.7% compared to 20.9% in the prior comparable quarter as we continue to execute on our tax optimization strategies. Net income for the quarter was $17.3 million or $0.94 per diluted share compared to net income of $24.6 million or $1.30 per diluted share in the prior year. Non-GAAP EPS was $1.47 versus $1.87 a year ago. Now turning to our full year results. Revenue was $1.87 billion compared to $2.02 billion in 2024. Our non-federal business grew 14.2% year-on-year, led by the continued strength in commercial energy, which offset a significant portion of the 25.7% decline in federal revenues. Full year subcontractor and other direct costs represented 24.2% of total revenue, down 90 basis points from 25.1% in 2024, reflecting a larger proportion of revenue tied to ICF International, Inc. direct labor. On a full year basis, gross margins rose 60 basis points to 37.2%, driven by the shift in our mix toward higher-margin commercial revenues, which grew 23.2% year-over-year and accounted for 33.2% of total revenues, up from 25% in 2024. Full year gross margin also benefited from our favorable contract mix, as fixed price and T&M contracts represented approximately 93% of total revenues, up from 89% in 2024. Cost-reimbursable contract declined to 7% of total revenues. Indirect and selling expenses declined 5% to $492 million or 26.3% of total revenues. We remain focused on managing our cost structure in 2025 while continuing to invest in growth areas, including AI and other technology capabilities to support our long-term growth aspirations. 2025 adjusted EBITDA totaled $2.2 million versus $226 million a year ago. Adjusted EBITDA margin was 11.1%, stable with the 11.2% reported a year ago and consistent with the guidance we provided at the start of 2025. The full year adjusted EBITDA margin reflected the strength of our non-federal business and the tight management of our cost structure. GAAP EPS was $4.95 compared to the $5.82 in the prior year. Non-GAAP EPS totaled $6.77, inclusive of a non-cash unfavorable FX impact of $0.11 which was driven by the declining value of the US dollar in the 2025 and associated with intercompany transactions. In the prior year, non-GAAP EPS was $7.45. At year end, our backlog stood at $3.4 billion, half of which is funded, reflecting the long-term visibility we have in the business. Our full year book-to-bill ratio was 1.19, and our business development pipeline remained healthy at $8.6 billion. Now turning to cash flows and the balance sheet. Our fourth quarter operating cash flow totaled $75.6 million, bringing our full year operating cash flow to $141.9 million, near the upper end of our most recent guidance range. We ended the year with total debt of $401.4 million, down from $411.7 million at the end of 2024. During the fourth quarter, we reduced our debt by $48 million reflecting strong cash generation despite the government shutdown. Approximately 44% of our debt is set at a fixed interest rate. Days sales outstanding were 77 days compared to 82 days in the prior sequential quarter. Capital expenditures for the full year were $21.7 million, similar to $21.4 million reported in 2024. Our adjusted leverage ratio was 1.98 times at the end of the fourth quarter, down from 2.13 times at the end of the third quarter. Our capital allocation priorities for 2026 remain unchanged and reflect our disciplined, balanced approach. We will continue to invest in organic growth initiatives, pursue strategic acquisitions in attractive markets, reduce debt, fund our quarterly dividends, and execute opportunistic share repurchases. Consistent with these priorities, we repurchased approximately 220,000 shares of common stock in the fourth quarter, bringing our total repurchases to approximately 564,000 shares for the full year, underscoring our confidence in the strength and long-term outlook of the business. Today, we announced a quarterly cash dividend of $0.14 per share payable on April 14, 2026, to shareholders of record on March 27, 2026. Turning to our guidance for 2026. With respect to the cadence of the year, our first half year-over-year comparisons will be down as revenues in 2025 included federal contract work that was canceled between February and May. We expect to generate roughly 48% of our total revenue in the first half of the year for the balance in the second half. Now to help you with your financial models, I would like to note that from a sequential standpoint, our 2026 had two fewer working days as compared to the 2025, which equates to approximately $14 million in revenue. We also anticipate the following. Depreciation and amortization expense is expected to range from $2,224,000,000. Our amortization of intangibles are now expected to range from $2,224,000,000, which is $14 million down from 2025 at our guidance midpoint. The expected decrease is due to the midyear roll-off of intangibles from acquisition made in the 2020 and 2022–2021 time frame. We anticipate interest expense approximately $27 million to $29 million. Capital expenditures are anticipated to be approximately $24 million to $26 million. Our full year tax rate is expected to be approximately 20.5%. We expect our year-end fully diluted weighted average share count to be approximately 18,500,000. And we expect full year operating cash flow of $135 million to $150 million. And with that, I'd like to say it has been a great pleasure for me to work with the incredible people of ICF International, Inc. I am grateful for their steadfast support and shared commitment to our company over these past four years. I will certainly miss interacting with our analysts and investors. And with that, I will turn the call back over to John for his closing remarks.
John Wasson: Well, thanks, Barry, and thank you for doing a great job as CFO during the last four years. Time flies when you are having fun. And all I can say is enjoy your retirement. We are pleased to guide to return to revenue and EPS growth in 2026, with our revenues expected to range from $1.89 billion to $1.96 billion, representing 3% growth at the midpoint, GAAP EPS from $5.95 to $6.25, and non-GAAP EPS from $6.95 to $7.25, or 5% growth at the midpoint. These expectations anticipate double-digit revenue growth from our non-federal government clients led by commercial energy, bringing non-federal revenues to over 60 of ICF International, Inc.'s total 2026. Revenues also assume a return to year-on-year growth in certain parts of our federal government business. This guidance does not anticipate any new large contract wins in the federal space nor any acquisitions. For the first quarter, we are guiding to revenues of approximately $450 million, GAAP EPS of approximately $1.20, and non-GAAP EPS of approximately $1.55. I would like to take a moment to recognize the dedication and hard work our professional staff who have been instrumental in helping us navigate 2025 and whose dedication to ICF International, Inc. and our clients has had a lasting impact on this organization. And with that, operator, I am pleased to open the call to questions.
Lauren Cannon: Thank you. At this time, we will conduct a question-and-answer session. As a reminder, to ask a question, you will need to press *11 on your telephone and wait for your name to be announced. To withdraw your question, please press *11 again. Please stand by while we compile the Q&A roster. Our first question comes from the line of Timothy Mulrooney with William Blair. Your line is now open.
Timothy Mulrooney: Yeah. Good afternoon. Thanks for taking my questions. I just want to start off by saying to Barry, congrats on the retirement and I wish you all the best on your next adventure. So I just had a few here. I apologies if you addressed this already. I am bouncing around earnings calls. But I wanted to ask about your commercial energy business. I mean, commercial is going to be 60% of your revenue by the end of this year? I want to focus more on this. So could you just share how your commercial energy business grew in 2025 and what your expectations are for 2026?
Barry Broadus: Thank you, Tim. Appreciate it.
John Wasson: Sure. I think as I indicated in my remarks, Tim, our commercial energy business grew about 24% for the year last year, with 15% of that being organic. And so it certainly led the way in terms of growth within the firm. I think our guidance for this year is at least 10% organic growth in our energy business. We continue to see very positive trends there across the business. As you know, 80 of that business is in our utility programs business. Business that spans energy efficiency, electrical management, electric storage, battery storage, we are a market leader there where we have an addressable market of $3 billion to $5 billion. I said in my remarks, we about a 35% share in residential, 20% share in commercial and industrial, that market's growing high single digit. We are outperforming that. We are able to outperform because clients are plussing us up because of the high quality work we are doing we are taking share from competitors. And so we think that has a long runway. We see tremendous opportunity and then the remainder of the business is in the advisory side. With significant increase in electricity demand and focus from utilities on affordability and reliability, again, know, we see tremendous opportunity and a significant addressable market. So we are quite positive. We will have double-digit growth there. And so we are you know, I think the commercial energy side of the business will be will lead the way in terms of contributing to our organic growth in 2026.
Timothy Mulrooney: Okay. Thanks, John. You expect where is more of that growth coming from? Is it coming from the utility programs or the advisory business as we think about you know, the grid and just this insatiable thirst for more electrons, we are just not going to have enough over the next five years. How do I about parsing that apart?
John Wasson: I'll say a few words, then I'll turn it over to here that her share her thoughts. You know, I think that think that components of the business, the utility programs and the advisory, I think we ultimately believe will grow at least 10%. I think advisor I think has the most long-term potential to grow more rapidly given it works across the entire value chain. In the energy arena. And as you know, we're also investing more in the on the engineering side of the business, we did as I said in my remarks, we did the CMY acquisition. Guess about two years ago, and while that's a smaller part of our business, I think that has as we continue to invest, the potential for quite significant growth. That's where we are looking to deploy our balance sheet in addition to organic growth. Anne, do you want to? 
Anne Cho: Hi, Tim. Nice to hear from you. So the I agree with everything that John said. The all I would clarify is just that the energy efficiency part of our business is larger. The market is is not growing as fast, but we have addressable market and and that is where we have been gaining. We have been gaining market share on the commercial industrial side. We have continued to grow the residential side, and those are just larger numbers but the faster growth, I would say, is in the advisory and the engineering and these other areas that John was mentioning. And so even though that is a smaller part of our business, an area where we see a a faster pace of growth.
Timothy Mulrooney: Got it. I actually if do not mind me squeezing one more in, Anne, while I have you I have been wondering about this question. You know, we get a lot of inquiries about you know, this part of your business, the commercial energy business, with how that compares with some of the other public companies. I am thinking about a company like Welldan, where we have seen a run in the stock and a strong valuation multiple. I am curious what your thoughts are on that, like how your commercial energy business compares with someone like that?
John Wasson: So that that question periodically does come up.
Anne Cho: And so, you know, I'd say that I am obviously I know ours must better than I know Will did. But what I from based on what I know, I see some similarities in terms of what ICF International, Inc. and WillDan provide in energy space, and then some areas that are different. I think on the in terms of where we are similar, we both serve utilities. You know, in the in terms of how we design and deliver these energy and energy demand programs. And our business, IPS business in that area, is roughly twice theirs. And that particular space. With a much stronger focus in ICF International, Inc. on the residential but then also a growing share in the commercial. Whereas Willdan tends to be more focused on commercial industrial programs. I think there is a second place where we could talk about the comparing the two companies is that we both serve public sector customers. But I think that the work that we do that ICF International, Inc. does for public sector entities tends more towards, like, the planning, the environmental aspects. Imagine, like, a transmission line and the environmental planning around that as compared to more of the closer to the ground engineering and sort of construction oversight that might be more akin to their program portfolio. And then similarly, we both work the data center area. We work on data center-related projects. But we focus more on, like, planning, financing, energy integration, great interconnection. That is sort of where our sweet spot is. We focus less on the actual construction and the risks associated with that. So most of our work is performed by professional staff. And and not subbed out. I guess the last thing I would say is that for us, I think our energy business, our primary customers are utilities. Where there's you know, includes a lot of state and local clients who are stalling, like, energy energy released infrastructure.
Timothy Mulrooney: Got it. Cool. That was very helpful. Appreciate all the color. Thanks again, everybody.
John Wasson: Thanks, Tim. Good to hear your voice.
Lauren Cannon: Thank you. Our next question comes from the line of Tobey Sommer with Truist. Your line is now open.
Tobey Sommer: Hi. It's Henry on for Tobey here. Appreciate taking my and and thank you, Barry, for for all you have done. Let me just start. You know, it looks like you already achieved this in the fourth quarter, and I am sure there was some some of the shutdown and other things in there. But just on the kind of greater than 60% you know, non-federal share you are projecting for 2026 is the exit rate in the fourth quarter kind of a good proxy to think about that? Or can we see that tilt even more towards non-federal in '26 and, I guess, the cadence of that over, you know, over the course of the year? Thank you.
Barry Broadus: Yes. Thanks for the question. As we discussed, we are definitely going to see more non-federal business in 2026. As that continues to grow. So we are looking at north of 60% as we look towards '26. So that trend will continue. Yep.
Tobey Sommer: I gotcha. Understood. And then maybe just switching to the federal side. On the procurement environment now. It sounds like things are, you know, incrementally better obviously, they were, you know, the start of last year. Can you just kind of speak a little more to that and kind of the variance between, you know, your your major agency customers at this point?
John Wasson: Yeah. You know, I would say that well, first, I mean, terms of procurement environment, I mean, I think as we have talked about the last quarter or two, I think we have not seen any contract cancellations or you know, anything of that nature the last couple of quarters. So we are we are not seeing those kinds of disruptions. Disruptions. I think as I said in my remarks, obviously, we as we got to the end of the third quarter going in in the fourth quarter with the government shutdown, that slowed and impacted the procurement environment. But I think since we got past the government shutdown, the actually, in the IT modernization front, we have seen a pickup in that procurement environment. You know, it is it is getting better. It is not back to where we would like it, but it is certainly improving and, you know, we are seeing opportunities move that environment, I would say, you know, more broadly on the programmatic broader programmatic business, there has been improvement there. I think we are seeing certainly on recompetes are occurring in a timely way. We have been quite successful in winning our recompetes. We are seeing additional funding on existing contracts. New opportunities there have not been as as robust as on the IT modernization side, but generally, I would say that the procurement environment is improving. And is we are ending the year and starting the year in a better position than we were starting the first half of last year. And so with that, I did not get said in the guidance, but let me just you know, for our federal business, which isn't know, about 40–42% of our business. About half of it is IT modernization, and half of it is broader programmatic work. And as I said, we expect IT modernization to return to growth. With the improved procurement environment for 2026. And we expect the entire federal business to return to growth in 2027.
Tobey Sommer: Got it. Appreciate that. And and if I can just sneak one more in in Sure. There is, you know, there is been some mixed talk about this, but ahead to kind of the summer, maybe early fall, if if there were to be another reconciliation bill, on here before the midterms, what are kind of the main areas that you would wanna see that that could, you know, benefit you the most in in terms of big, big funding streams and and kind of I know the administration is looking at Thank you.
John Wasson: Mean, first thing I would like to see is the budget passed at a time of leeway. Without kind of continuing resolutions and you know, you know, the risk of government shutdowns, which we have we have been through. So that would be a nice outcome. I think that generally, I would say the budgets for this year were generally aligned with our expectations. I mean, I think for us, CMS is an area in the health side that we are quite focused on and continue to see a lot of opportunity Department of Transportation, and then generally across the IT modernization front. I mean, I think we are we are seeing a lot of activity and a lot of interest across our entire client set on that front. The focus is obviously AI first, efficiency, avoiding waste, fraud, and abuse. Doing it in natural way with commercial terms, think we are in a really good spot to to take advantage of that. And so I think those are examples. We are also seeing opportunities at DOE. I think we are this administration is focused on you know, on certain technologies and certain generation nuclear natural gas, extending coal plants. I mean, there is things those are areas that we can support and and are interested in. So so, yeah, as I looked at the the the budget for 2027, yeah, having it passed in a timely way. And avoiding that that uncertainty would be terrific. Thank you.
Lauren Cannon: Our next question comes from the line of Jason Tilgin with Canaccord Genuity. Your line is now open.
Jason Tilgin: Hey, everyone. Good afternoon. Thanks for taking my questions. I guess to start, in order to prepare remarks that you already starting to see some improvement in productivity of client work and internally, from AI. I am just hoping you could maybe provide a little more detail on some of this specific ways that this is happening, and then how much of a benefit from this sort of greater efficiency is is contemplated within the guidance you provided today? Thank you.
John Wasson: Yeah, sure. Think that obviously, as we think about AI, I mean, one lens to look at it is how we use it internally and there, I think we are using it. And have a number of use cases we have been focused on help us provide support to our staff in areas around, you know, human resources, also recruiting, into the firm. Obviously, contracts and our ability to review contracts more quickly business development, another area. Any area where volumes are high, you know, and the queries are predictable, you know, we we are finding we can gain efficiency to help us make more much more cost efficient I mean, 10 to 20 bps of
Barry Broadus: profitability improvement per year.
John Wasson: Getting historically, we have gotten a portion of that certainly in the last several years from the mix of the business with commercial drilling. Or rapidly, but I do think that we do think AI will allow us to continue to improve our profitability, through the leverage from the technology and you know, we are we are comfortable with 10 to 20 bps potential upside from the internal use. Externally, I think we are we have really, as I said in my conference call remarks, we have really been focused on areas where we think we can have the most impact and add the most, you know, value for our our clients. And so in our business, I mean, that is to a large extent, we have been primarily focused around IT modernization. And how to best leverage it for that. And so and so that I think is we are quite focused on how it can improve efficiency of our coding and our coding or technologists we can use it for rapid prototyping. We are using we have developed a fathom or AI the JFK AI platform, which allows you to do rapid prototyping for clients. We are doing AI governance. We are doing data organization. And so there is a number of areas we are focused on leveraging it clients. I do not know Anne, if you want to add anything on from a client perspective.
Anne Cho: You know, I think we have seen that it can speed up development. I think what we try to do is pair up our understanding of the regulatory environment and the needs as you modernize these systems with the efficiency that we can gain through the AI tool.
Jason Tilgin: Great. That is super helpful. And then just one other one. In terms of international growth, it is accelerated over the past three quarters. You just announced $300,000,000 of new European contracts in January. Just wondering if drill down a little bit more on what is been driving this momentum and more broadly, how you about the international opportunity going forward?
John Wasson: Well, as you know, I think we have won several large contracts here, several last year. And one or two more as we started the year here. That I think are primarily well, there is two areas. One is marketing and communications for the European Commission. And helping them with communicate their programs and outreach to citizens in the European Commission. On their policy and program efforts. We have talked at length that those are significant contracts. They the activation of those contracts was a bit slow last year, but as we ended the year and began this year, we are seeing the activation really begin to kick in. We are quite confident we will have double-digit growth will help drive double-digit growth with our European Union clients. They also wanted several contracts with the UK government last year with DEFRA. It is an agency of the UK government. Those are activating. And so and those are really nice wins. Think they give us it gives us visibility, very clear visibility for strong double-digit growth next year. I think those will those contracts will offer growth for the next next several years for us on the international front.
Jason Tilgin: Great. Thank you very much.
Lauren Cannon: Our next question comes from the line of Kevin Steinke with Barrington Research Associates. Your line is now open.
Kevin Steinke: Great. Thank you. I was just wondering if you could refresh us on to the relative size of the the the market, for the residential energy efficiency versus the commercial and industrial energy efficiency where where you noted your gaining market share and you know, how how those market share gains on the industrial and commercial side kind of expand your growth runway and your market opportunity overall for the commercial energy business?
John Wasson: I think as I said in my prepared remarks, I think see the utility program which includes the residential and commercial industrial but also includes electrification, I think, flexible load management. I think we see the total size of that market in the $3 billion to $5 billion range. And I do not know if there is Yeah, so the ability to break it down or we so the so the demand side management
Anne Cho: programs, Kevin, I think you could think about those about a $2 billion market. And that is residential. And that is residential and commercial. Traditional demand side management program. And then when you start to get into some of these other types of programs that we are involved in, like marketing, electrification, demand response, that is when your market you know, the addressable market grows up to get into this this range that John has mentioned, so three to five. And that is I think those are the numbers that we thinking about there.
John Wasson: As I said, you know, we have about a 35% share residential. In the residential and about a 20% share, growing share in commercial and industrial for the traditional program. So think we view that as significant headroom and as we said, we have been taking share. And so we certainly believe that will be part of our strategy going forward. I think in a more emerging areas, electrification, flexible load management, battery storage, there is, you know, there is significant you know, market addressable market there. Those are those are newer. And rapidly evolving. So those offer I think, significant growth opportunities we look down the road three to five years, they are they are not as they are not as material to our overall business today, but you know, that is what we would on the program side, that is where we would expect to see you know, much more rapid percentage growth as we look forward.
Kevin Steinke: Understood. That that is helpful. Thank you. And I also just wanted to ask about how you are thinking about adjusted EBITDA margin in 2026. You think you maintain that versus 2025? Or with your expectation of a return to revenue growth if maybe you can get back to that kind of 10 to 20 basis points of expansion that you have historically targeted?
Barry Broadus: Hi, Kevin. This is Barry. Yeah. I think that we can go ahead and you know, get into that, you know, 10 to 20 basis points improvements on a year-over-year basis. As we continue to see the growth and expansion in the commercial markets and non-federal business, with higher margins. So that as well as the economies of scale and the efficiency we can get from the back office side. Of the of the expense equation. So I think that, you know, that certainly is a reasonable expectation.
Kevin Steinke: Alright. Sounds great. And, again, thanks, Barry. It is been a pleasure working with you. Take care.
Barry Broadus: Likewise. Thanks, Kevin.
Lauren Cannon: Thank you. As a reminder, to ask a question, please press *11 on your telephone. Our next question comes from the line of Marc Riddick with Sidoti. Your line is now open.
Marc Riddick: Hey. Good evening, everyone.
John Wasson: Hey, Mark. How are you?
Marc Riddick: Good. Good. Barry, I wanted to extend my my congratulations and and and appreciation for for the time that we have had the opportunity to work together and and and certainly wish you the very best in in your retirement. And and I know a lot of us are going to miss you, but, yeah, congratulations, and thank you so much for all you have done with us.
Barry Broadus: Thanks very much, Mark. Appreciate it.
Marc Riddick: I wanted to touch a little bit on the sort of the the the activity that you have seen as far as shifting of of, of spending or or pace of activity on the state and local side? And maybe you can touch a little bit on what you have seen and and what you are what you are what you are thinking of seeing going into '26 as far as you know, whether there are particular services that have been a little more active the state and local side picking up from from where the federal government spending cut and and whether there is any particular, you know, states or regions that have been sort of leading the way and as well as practice areas that you that you see being a little more active than than we were maybe six to nine months ago.
John Wasson: Maybe I will say a few words, then I can if Anne wants to add something. I think our state and local business, I mean, largely, we have two kind of main pillars of that. One is some kind of the environmental related work we do in front of large infrastructure projects, energy, projects, roads, bridges, you know, things of that nature. You know, I think generally, there, we certainly saw growth in that business. Last year. Certainly on the state and local side, they have done well with that. I think we would expect that to continue show growth. Particularly with the investments being made around energy infrastructure. I think the other key component of our business is disaster recovery. You know, there, I think you know, we have a as been a mid single digit growth business for us. I think we we have strong backlog. We have good visibility for that business. And so I think we we certainly see that as a a growth business as we look forward, it is for breakout growth, is dependent on the frequency and severity of severe weather events or wildfires. But I think generally, we we view the the state and local market as a a growth market in those two areas. I know. Anne, do you wanna
Anne Cho: Yeah. Hi, Mark. So hi there. I just look at I would add that we are it is Mark. I would add that we have been also seeing opportunities where for instance, you might be working in a state in a disaster or another context, and they have modernization needs that relate to visualization or whatever. And so our ability to opportunistically grow in those states because of an existing relationship, whether it is tied to disaster work or work that we have been doing on the environmental side, that is we have been able to leverage that, and that has led to some growth that you have know, you are able to see in the numbers.
John Wasson: Yeah. I think one of the things we do well is we can connect the dots different parts of our business working in a a given state. And so sort of have examples where our environmental work or our disaster management work has led to technology work and in state governments, and, you know, vice versa. And so again, I think across some of the things we do, we have also seen as a federal government step back, the states have stepped forward. So, like for instance, on the climate front, obviously, this administration is not had as great a focus on on climate and resilience we have seen state government step forward, and that is also created opportunities.
Anne Cho: Yeah, and the examples there are, you know, for instance, understanding the the return on investment for investing in transportation infrastructure to get ahead of vulnerabilities to extreme weather so that not going to have to pay more later to, you know, to rebuild those roads or or to deal with the consequences. So focusing on resilience and transportation infrastructure at the state DOT level, or focusing on resilience of ports from an economic activity standpoint, those are the kinds of areas where we have a lot of traction.
Marc Riddick: Great. Thank you. Thank you for that. Wanted to, shift gears into, maybe what you are seeing in as far as the the pricing dynamic, and it is certainly seen and and sort of I guess, maybe in a bigger picture, way how that plays into the the '26 revenue guide, maybe what your expectations are as far as pricing contribution there?
John Wasson: You know, I would I mean, we will let me say a couple of things. First of all, I think at a high level across our business, you are seeing it in our in nature of the contracts we have. And we certainly in our federal business, and I would say with our commercial clients. But in our federal business, we are seeing much more focused on performance outcome related contracts and and and or fixed price related work and certainly a lot of our energy work, our energy implementation work is also fixed price. And so I think that trend, I think it is generally been positive for us. We our margins tend to be higher on fixed price outcome. Focused work. And so I think that is that is positive. Generally, obviously, we we compete for everything we do. Pricing is an important consideration, but I would I wouldn't say that you know, it is not the it is not the primary or the the single most important criteria in our work. I mean, our clients are generally the price is important. But it is the quality of the work, the impact of the work, the innovation, and the work. And so again, we try to manage our portfolio to stay at the higher end of the value chain. And invest for that and as things commoditize, you know, we will step back or we will subcontract it out.
Marc Riddick: Okay. Great. And then, I guess, last one for me. I was I was sort of wondering if you could give an update as to how you feel about the acquisition pipeline currently. Maybe you can sort of give a sense of some of the given the things that you are looking at, are you getting the sense that the pipeline is you know, similar to where it was maybe six months ago or so? Are you beginning to see, more opportunities there and, you know, valuation levels, things like that?
John Wasson: I mean, I think well, first, as you know, I mean, obviously, M and A, inorganic growth has been a key part of our strategy. And Barry noted, I think we have we haven't done a material deal in several years. And so our leverage ratio is now down under two. So we have capacity. Right. So it is something we are focused on. I would say, you know, we we generally think about the areas where our business is growing. So first, you know, and we see long-term growth opportunities. So obviously, energy an area that we are looking at very carefully. And I would say there is a there is deal flow there. I think it is you know, there is a there is a lot of focus broadly on the energy sector and the opportunities there. I think the valuations are you know, are fulsome. Let's I will say it that way. Mhmm. But we are but we are certainly looking at areas that, you know, would add skills and capabilities in the markets we serve with us. Utility programs, the advisory work, or more engineering oriented work. We are taking a hard look and are quite interested in that. I think it state and local disaster recovery, you know, is an area that you know, certainly, we could add greater geography greater scale of state and local clients to be something we would be we would look at. Federal technology I mean, we are certainly looking at deals there. Think we will be more careful there given uncertainty in the federal market. You know, I think the the valuations the valuations have come down in federal, but we would be pretty careful there. I think but we are certainly out in the market and looking at it, particularly in energy. And in state and local and we are keeping our eyes on federal, but I think we will be more opportunistic and more get careful there.
Marc Riddick: Okay. Great. I really appreciate all color you provided as you are especially as you have kind of navigated through this through this process and getting to the other side of it. And so really do appreciate all the the the color and commentary there. Thank you.
John Wasson: Thanks, Mark. Appreciate it.
Lauren Cannon: Thank you. I am showing no further questions at this time. Would now like to turn back to John Wasson for closing remarks.
John Wasson: Thank you for participating in today's call. We look forward to engaging and seeing hopefully all of you at upcoming conferences and at meetings. Take care.
Lauren Cannon: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.